Operator: Good morning. My name is Jody, and I will be your conference operator today. At this time, I would like to welcome everyone to the Golden Star Resources' Second Quarter 2017 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Sam Coetzer, President and CEO of Golden Star Resources, you may begin your conference.
Sam Coetzer: Thanks, Jody, and good morning everyone. As you heard, I am Sam Coetzer, the President and CEO of Golden Star Resources. Thank you very much for dialing into the call this morning, following the release of the second quarter results yesterday after market closed. Before I take you through our results, I would like to pause and speak to you about a very unfortunate incident that occurred at our Wassa underground mine during the quarter. Very sadly one of our colleagues was involved in an accident, who was a load haul dumper, and it resulted in a fatality. Although Wassa Underground has established safety record, this incident has rocked the team tremendously, and we're all deeply saddened by it. Before this incident Wassa achieved 7 million hours lost time injury-free, which is remarkable. A full investigation was conducted, and we are focused on ensuring that this kind of incident will never be repeated. Safety remains our top priority of both of our operations, and we are now approaching working safely with an even stronger determination than ever before. Now let's take a look at our performance over the past quarter. Please take note of the disclaimer, and then we will move on to the next slide. Joining me on the call this morning are André van Niekerk, our CFO; and Katharine Sutton, our Vice President of Investor Relations and Corporate Affairs. After the presentation, there will be an opportunity for you to ask questions of all team members here, but first, like we always do, let's recap who Golden Star is and why you should invest in us. I'm sure this slide is familiar to many of you, so I will just take you through it briefly. Golden Star is an established gold producer with two producing mines in Ghana, which are considered as stable jurisdiction. In 2017, we were expecting to produce between 255,000 and 285,000 ounces of gold, but production is expected to expand and costs are expected to continue to decrease in the coming years. This is due to two high-grade underground mines and particularly the Prestea Underground, which has a head grade of about 14 grams per tonne. We have mineral reserves of approximately 2 million ounces, and significant upside potential. So going forward, we'll be focused on expanding the lives of our operations. We also have one of the largest land packages of any company currently operating in Ghana. We have an experienced management team with a complementary skill set. Despite our strong performance over the year to-date, we remain undervalued on a number of metrics compared to our peer group. Meaning, there's an attractive entry point for investors to buy into our stock. Last week I was in Ghana visiting our two mines, and meeting also with the Vice President of Ghana. I also gave a speech to our team at the Prestea Underground and to some local dignitaries. And the theme I used was one of pride. I continue to be so proud of the way that Golden Star is transforming itself. It's a very exciting time in our company's evolution, and at this stage I want to thank everyone in this company fulfilling together and playing the important part in helping us reach the stage. We are now producing from four sources of all and this give us greater flexibility than we did before. And we are becoming closer than ever to our goal of becoming a high-grade low-cost gold producer. So, now looking more closely at our gold production in the second quarter, we produced just over 64,000 ounces. This is our fifth consecutive quarter of production growth, and the highest quarterly production we have achieved since we closed down the refractory operations. It was also a record for another reason that is as it was the fifth consecutive quarter of record production at Prestea Open Pits. It was also the first time that Prestea Underground contributed to our production profile delivering its maiden -- 325 ounces. Sorry for that. The Wassa Underground production continued to ramp up and the mining team again exceeded the expected daily mining rates. All these are important steps underlying the change to Golden Star's profile. Golden Star today is a very different company to the one it was a few years ago. And I'm very excited about our future. Moving on to cost, the second quarter of 2017 represented a lowest operating cost in five quarters. We have been saying since 2015 that the closure of refractory operation will lead to a significant change in our cost structure, and it's great to see that being realized. Our cash operating costs in the second quarter was 18% lower than the second quarter of 2016. And our all in sustaining cost downs decreased by 19% to $960 an ounce, which is below the bottom end of our full year guidance. The primary reason for these compelling cost reduction is 38% decrease in cash operating cost of the Prestea Open Pits. I thought you mark we were on track to achieve your consolidated full year 2017 production guidance. However, we are altering the individual mine guidance increasing our forecast for the Prestea Open Pits and Wassa Underground and increasing our forecast for the Wassa Main Pit and the Prestea Underground. I will talk more about the reasons behind this lately in the presentation. Similarly, we are maintaining our consolidated guidance for cash operating cost but changing our individual mine guidance. We are also reiterating our all in sustaining cost guidance. Although they are all in sustaining cost for hot peer ounce is below the bottom end of their guidance range. We are expecting an increase to sustaining capital about the Wassa Underground in the second half of the year. And I'll explain that a bit later to you. Looking now at our capital expenditures, we are increasing our guidance from $63 million to $69 million. This is as a result of the commencement commercial production at Prestea Underground, which I will also discuss a bit later in this presentation. It is meant that the portion of the mine's future operating cost that we reallocated to capital expenditures. Now let's look more closely at the performance of Wassa and Prestea, the progress being made at the underground development and now expiration outside opportunities. Just a recap before we get into the results of the second quarter Wassa is both an Open Pit and an underground mine in Southwestern Ghana. Work has always been completely non-refractory mine and all is now sourced from both to Wassa Main Pit and the Wassa Underground. The second quarter of 2017 production was just over 32,000 ounces, which represented almost a 50% increase compared to the second quarter of 2016. 39% of the gold production in this quarter came from the Open Pit operation and the remainder from the underground and we expect the contribution from underground to continue to increase overtime. Wassa's cash operating cost for the quarter was $980 an ounce which is higher than we expect to see for the full year. However, we've chosen to increase Wassa's cost guidance quietly at the half year market. The reason for the higher operating cost is mainly due to the under performance of the Open Pit and as the year goes on, we expect both operations to a debt to be part of a combined operation and we will see more high underground grade or going to them all. This means that cost should go down and we will well on track to achieve your revised cash operating cost guidance at Wassa of our $890 to $935. Zooming in now on the Wassa Underground, our South Pit was not visited at last week; Katharine and I was in -- Katharine was in Ghana with me and during the visit we said to one another so many times that it feels like we have so many opportunities in front of us on this mine. It's very exciting to be in this position and Wassa Underground is now at the heart of those opportunities. The mining team at Wassa Underground continued to exceed the expected daily mining rates in the second quarter of 2017. In the beginning of the year we were targeting 1400 tonnes per day on average, in 2017 -- and the average for the first six months of the year is now well above 1600 tonnes per day. This is due primarily to the excellent ground conditions at Wassa, which enables the mining team to access largest folks then planned by a longitudinal stoping; some of them up to 30 meters wide. As a mining engineer I found this very interesting, these types are larger than what we planned initially. We also saw a 20% increase in grade during the second quarter of 2017 compared to the first quarter of the year. This is because we are now primarily mining in the top part of the B Shoot. The B Shoot is a high grade area of the Wassa Underground ore body and we accessed it for the first time in March 2017. The higher grades and higher daily mining rates are the key reasons for Wassa Underground strong production during the first half of the year. Moving to Slide 11, this slide gives some key details of our updated short-term mine plan. The new plan covers the next 18 months and it now delivers 10% increase from mineable tonnages and the 20% increase in ounces compared to the previous plan. The additional tonnes and ounces come from the media the horizons between the 720 and 695 levels, which has shown in the diagram on the right hand of the slide. We expect to mine then by our longer tunnel stopping and advantage of this is that we expect to go in efficiencies from less waste development and more, more development, which will allow for continued strong daily mining rates. We will then begin transfer stope once follow these longitudinal stopes that we might. Looking now at our expiration program at the Wassa Underground, the first deep hole of the B Shoot South extension link is complete and the daughter hole is underway. Drilling has also been conducted with the objective of extending the B Shoot to the north to taste the potential to increase near-term production. This has shown in the top diagram of the slide. We are expecting the results from the drilling during the third quarter, which had give us an indication about the opportunity to increase Wassa's Underground mine line. Now we are ready to move to our Prestea mine. Prestea is approximately 40 kilometers from Wassa and is also in Southwestern Ghana. Golden Star began accessing the Prestea Open Pits in the third quarter of 2015 after we stop production from the refractory [Magoso] [ph] pits. The Prestea Open Pit are outside deposits and the regional goal was to bridge the production gap until production begins from the Prestea Underground and we have succeeded tremendously with that goal. However, following the fourth consecutive quarter of record production, I'm pleased today to tell you that production from the Prestea Open Pits has again been extended. The Prestea Open Pits delivered over 31,000 ounces of gold in the second quarter, which represents more than a 30% increase compared to the same period in 2016. The is largely due to the 62% in great process after Prestea plant which is as a result of a high-grade ore from the Mampon deposit. We also saw a 38% decrease in our cost this quarter bringing Prestea's cash operating cost below $600 per ounce; a truly fantastic result. Although as in Ghana last week, I also visited the Prestea Underground mine, it was so great to see the first raise now being completed and the teams are making all the preparations to block the first half during this quarter. The second-grade is also progressing well and we begun construction of the third nest. At different times, I just spoke to one of the team members of mine rock, our underground training contractor and I will say how he was finding the ore body so far. That was perfectly suited for this mining effort, which is called shrinkage as that is straight and it's fabular. Although, the ore body is fairly narrow at between 1.5 and 2 meters wide, it is said they have used this method to narrow ore bodies in the past. But it was confident that it was right choice. The development right will continue to increase as a team really begins to hit stride. I have in my past developed the number of mines throughout my career, and I can tell you the larger production is not -- is never that smooth. This quarter presented us with some challenges although Prestea Underground relating we have pumping system. I got a good, but in the perspective the pumping system is very old at Prestea. We have plant to upgrade the pumping system during the second half of the year. However, due to the increase mining activity on 24 level the pumping system came under pressure during the second quarter, which I alluded to in our previous call. When I saw the production profile of Mampon we took the decision to sustain wasting in order to take the sharp infrastructure and stop out the development or underground to allow raise the development to continue throughout the period. That's one of the benefits we are having in old mine. There are plenty of historical workings to use the storage areas. Perhaps the main impact that the suspension had was on waste development although it was deferral of ounces. However, I am pleased to tell you that by the start of the third quarter the situation is rectified and full hosting as resumed. We are now expecting to comment production of commercial production in the fourth quarter of this year. We are only looking at our plans for exploration in 2017. Similarly to Wassa there are three focuses -- key focus areas. The first focus is the delineation and the extension of the West Reef, which is where the current mineral reserves are located. This work is successful. It will increase the supply of high grade ore to the processing plant in the near term, increase in production and giving us the biggest bang for our buck. The second focus is on the initial tasting of the Main Reef, which is ore body that was mind historically at the Prestea Underground. The third focus is on the far shale of the current working SCOPE, the South gap. The objective of both from Main Reef drilling and the South Gap drilling is to find out if ore can be added to the mine plant in the medium term to extend the mine's life. We begin drilling Prestea Underground in the first quarter as planned, which is very exciting as the exploration was conducted into the last exploration was conducted in 2004 and prior to that more than 40 years ago. We released the first set of results from the West Reef definition drilling in early July and they confirm the high grade nature of the mineral ore bodies we will be mining. I am looking-forward to reporting further results as they come enduring the next few months. I am going to talk you about the expansion potential at both operations now, as I mentioned earlier when I was in Ghana last week I was really struck by all of the opportunities we have of our production growth. One of the reasons I joined Golden Star was because of the excellent installed infrastructure and a huge under explored land package. I believe that through our exploration programs we will be able to significant increase our reserves and resources. And accordingly we will be able to increase our annual production rates for better utilizing the current excess capacity within our plants. At Wassa Underground, our feasibility target of mining rate was 2200 tonnes per day. However, our twin decline system has a capacity of 4,000 tonnes per day and the plant has a capacity of nearly 8,000 tonnes per day. If we can delineate additional reserves at Wassa we can material increase the production without incurring a significant amount of additional CapEx. Our previous opportunity is so compelling that I have asked our Chief Operating Offer Daniel Owiredu to look into this viability for that and we will update you on that process. There is a similar opportunity at Prestea Underground the feasibility study targets the mining rate of 650 tonnes per day that we engineered the shale that the capacity of 1500 tonnes per day and our plant has capacity 4,000 tonnes per day. Due to the very high grade nature of ore even relatively small uplift in your daily mining rates could lead to significant increase in production. I am very excited about both of these opportunities, and we will be providing more information to the market about these opportunities in due course. Moving away from operations to give myself a bit of break, let's look at our financial results, and I am going to hand it over to Andre our Chief Financial Officer. Andre.
André van Niekerk: Thanks, Sam. The positive operational performance is well reflected in our financial results for the second quarter. Revenues increased by 50% in Q2 2017 compared to the same period in 2016 due to the stronger production at both Wassa and Prestea. However, we are all interested in producing answers for answer sake we are focused on expanding our margin and generating stronger cash flow. And in this quarter we saw a 200% increase in our mine operating margin. Our net income was $14 million in the second quarter compared to the net loss of 20 million last year. Our adjusted net income increased from $1.4 million in the second quarter 2016 to $7.7 million in 2017. This was primarily due to the stronger mine operating margin from Prestea. Capital spend was $18 million for the quarter of which 7.5 million was incurred on Prestea Underground. We finished the quarter with just under $26 million in cash and we remain fully funded to deliver our capital programs. We have grown down 10 million over $25 million state facility from Ecobank within shares we have sufficient cash Wassa until Prestea Underground begins commercial production. This facility is fully repayable without any early repayment fees six months after the go down date. And during the quarter, we also repaid the remaining $13.6 million of the 5% convertible debenture. It is great to get them of our balance sheet as we continued to move towards a stronger financial footing. I'll turn it over to Sam
Sam Coetzer: Thanks, André. That was good. Now let's look at the remaining key milestones for 2017. Part of the year, we announced commercial production at the Wassa Underground, maybe as I mentioned earlier, at the end of the first quarter we begin mining that we should which is the high grade area of the ore body and we exceeding planning, planned mining rates. Both are commenced, mining of the high grade Mampon deposits ahead of schedule, which is contributing to the scale of production from the Prestea Open Pit. Later this quarter, we will blast the first stopes at Prestea Underground and in the fourth quarter we will achieve commercial production land. Also during the third quarter we will release further results from our exploration program. So, a lot of the catalysts still to come as we continued to generate production from multiple sources of all, and we are moving every closer to becoming high grade, low cost producer. Thank you all for listening. And I will now hand it back to the operators so we can take some questions.
Operator: [Operator Instructions] Your first question comes from the line of Andrew Breichmanas, BMO Capital Markets. Your line is open.
Andrew Breichmanas: Thanks, and good morning, guys. You talked a little bit about the increase and created the Wassa Underground following accessing the B Shoot and the changes with the new plan, but previously my understanding was that the focus was really on the transverse stopes, which were larger higher grade and constituted about 90% of reserve mine in the previous plant, so could you just provide a little bit more detail about the change in deferring those stopes and any potential impact on grades going forward by doing that?
Sam Coetzer: Yes, Andrew. Firstly, I think it's important that I comment on when do you use transverse stoping and when do you use the longitudinal stoping. So, generally the longitudinal stoping is mine between 5 and as much as 15 meters wide. When you get into the wider part of the old buddy, then it's between 25 and 40. So, best mining method for that would be to mine it versus trying to stubs. After the drilling received on the upper levels, we've increased the strike length of the longitudinal, but also the width of the longitudinal. So, we could have been mining them by transfer methods. However, what we've seen in the conditions of the rock and the way that our drilling brakes was stopped, that we are now mining 30 meter wide stubs via the longitudinal methods. We did announce that we look at a 19-month plan which we call a panel. Now in that panel, it'll be a combination of longitudinal and transverse stuff. So that makes up the 18-month plan. After the most recent drilling that we've completed in the B-Shoot -- we saw the extension of the upper levels where the longitudinal is. Obviously, once you have that and you do not need to continue to drive your development into the waste of preferable transverse, the result of that is a better result who has to continue mining, I mean, right until you get to the next horizon moving forward. For the same reason is the reason that you've seen the increase in the daily timing rates. It does not mean that longitudinal stubs are lesser of a grade going forward. Initially, we knew that the upper levels or the first part of the B-Shoot be as much as the grade in the center of the business profile. So I'm trying to indicate to you that mining method does not necessarily indicate the width or the grade. If your productivity efficiency gains outstrip that, and looking forward, we would be able for the remainder of this year, increase the production profile and continue to reduce our cost going down. And then not do all the waste development that initially was required for the startup of this mine.
Andrew Breichmanas: So then presumably, the accessing in sort of the same higher grade stubs you are expecting to access sort of towards the latter part of this year. But in Q2, the grade mine from the underground was still about 25% lower than reserve grade. So should that turn up over the next couple quarters and can you give us an idea of how you anticipate that going forward?
Sam Coetzer: So when we finished the first quarter, not all the shot tons was completed. So you still had a supply from these big stubs if shoot coming into the B-Shoot grades is obviously higher than was, and moving closer -- and we will continue to move closer to the reserve grade. Going into the fourth quarter, we've already seen how the grade starts reacting towards getting closer to the reserve grade. And we have to continue to see that move. However, when you look at mining, we had an ability to adjust mining rights fall to ensure that we get better margins, Margin is not only related to grade, but also efficiency and throughputs. So we're looking at that all the time and I can tell you that the grade is responding according to the profile that we expect.
Andrew Breichmanas: And then on some of the revisions to your capital guidance, you talked about the increase in standing capital at the Wassa Underground during the second half. But the changes were actually to increase development capital. And presumably that's associated with that change. Is the sustaining part portion just a matter of timing throughout the year?
Sam Coetzer: You got it right, Andrew. We are seeing the potential of mining of the Ohio right. And I alluded to that, we're right in the middle of doing a calculation on that. In order to sustain that mining right, which will then obviously give you more ounces, you will then increase your sustaining development right to accommodate that going forward. So, yes, if you are under 1,400 tonnes, then you have a certain sustaining capital required for development. If you got to, say, 1,600 tonnes a day, you have a slightly higher. You go to 2000-2400-3000, you can imagine what it would be. But always the ratio would always be beneficial of the sustaining capital to the ounces that you're hoping for production in the future.
Andrew Breichmanas: And then just lastly on for Wassa open pits it looks like sustaining capital there has actually been reduced from the original target. And you talk about being a little bit constrained in terms of the areas that you are mining given the lower sustaining capital. Are you going to be able to improve the performance from the open pit and have actually have you done analysis of sort of the costs of production from the open pit versus the underground?
Sam Coetzer: Yeah basically what we -- Andrew when I look at the -- as I said I have alluded that we're looking at a different underground mine plan every time that replaces or one time of all of better margin oil from underground replaces about four to five tons and the fact -- for we raised them once the ore. So when we look at that we look at what equipment do – would we need to use that we have in our analysis before. So if you assume that you had to do I don't have the numbers in front of me but you're to assume you do more tons from underground you replace that five tons. So we not as dependent on buying equipment going forward because we probably see a bit of production rate from underground. And that has other for cost following on to the benefits and what hasn't running until we know exactly how we want to structure the underground water is not running really optimum at this stage. So we're going to look at what should the size of the open pit will be compared to the size of the underground. So we would not be like purchasing the equipment based on what we think we can be producing from underground.
Andrew Breichmanas: Okay, that makes sense thanks very much.
Sam Coetzer: Thanks Andrew good questions.
Operator: Your next question comes from the line of Robert Reynolds from Credit Suisse. Your line is open.
Robert Reynolds: Good morning guys, just going back to the loss underground and the new plan reporting at 20% increase in ounces compared to the previous plan. Is the previous plan comparable to the Wassa feasibility study or how would that previous plan differ from that feasibility study. I'm just trying to get a benchmark for the 20% increase?
Sam Coetzer: All right, we always knew that the issue does a potential to be -- to add to us because when we did the drilling initially we had limited drilling into the V shift to get us to a piece we've already studied. What I indicated there and I'm not talking about reserve at this states. What I say we look at an 18-month plan and this company we run an 18-month plan on every single source of oil that we have except for Prestea Open Pits because it keeps on surprising us quarter-on-quarter. However having looked at the recent drilling that we released recently and we seen with our 18-month plan has increased in both tons and also in the ounces that we can produce from that area. So I do not want to indicate to you that the reserve is going to increase but what I want to indicate is that the initial drilling that we did in the selected area is that I did not plan that we had internally that looks better and obviously in fact looks better. I can tell you that next 18 months we'll be at better rate than what was in the feasibility study that's basically what I can tell you. For the first 18 months of the feasibility study.
Robert Reynolds: So just to clarify the 20% increase relates to this specific area of the underground it does not relate to the entire underground plan or does it relate to the entire underground plan?
Sam Coetzer: No I must make that very clear in today's call we have done drilling as we extend our declines down. We've drove 18-month let's call it the 18-month panel that we look at the stubs coming up and we're doing our planning. That particular area compared to the 18-month within the results and no I cannot draw a conclusion at the stage for the full reserve but I can tell you that the 18-month plan that we have has now been increased. So if we should be drilling in the next year the next 18 months plan maybe then we'll start seeing a trend developing. But I feel happy with what I'm seeing right now and that allows us to look at a different rate for the underground going forward. And hopefully in the next two quarters or quarter two quarters we can give you more clarity of what we're sitting up in the mine going forward.
Robert Reynolds: So the 20% higher is just for the next 18 months?
Sam Coetzer: That's correct yes hopefully it will continue.
Robert Reynolds: Yes okay.
Sam Coetzer: I haven't drilled the deeper part of the reserve as underground mines are are different as you extend your development down you get more information. So this is positive for the company and not a negative.
Robert Reynolds: Yes. And then just at the Wassa Open Pit, what exactly has I guess disappointed there versus what your original expectations were? Is it the grade reconciliation or the tonnage, or both?
Sam Coetzer: There is a bit of both that we -- where we mine in the last year the Southeast mine, which is not the B Shoot, and it hasn't been as robust as the B Shoot at Bean when we stopped mined the B Shoots in 2015. So that makes pushback will bring us back into the B Shoot again. And basically, we have something like 800,000 tonnes of stockpiles, and when the team does its grade controlled drilling, because you get the grade, you know, you mine the grade, but -- because the grades are there, but you are so much more selective, which is not what you want to have an open pit. So when you don't have the amount of tonnes, you replace an inventory ton of metals which shows your cost higher, because you are drawing down from inventory. And so, it doesn't change the fact that we are still looking at going after the B Shoot in that open pit, which we have a good history of. So, this Southeast mine has not been as robust as B Shoot as been.
Robert Reynolds: So when does that pushback happened?
Sam Coetzer: Well, we are reviewing on how we want to do it, because it's all down to -- we are dependent on what we see from the underground.
Robert Reynolds: Okay…
Sam Coetzer: So you can still look at the guidance we gave you. There should be no changes. If there is obviously a better plan, I'll announce that.
Robert Reynolds: Okay. Moving over to Prestea, the pits have continued to surprise positively this year, are there any ore sources that you can look at from an open pit perspective that might provide some fee to the mill in 2018?
Sam Coetzer: It's so embarrassing for me, because every quarter I say the same thing, I don't think so, I mean, we get extensions as we enter this ore body. This has exceeded our expectation. We constantly do more work on this, Robert, because it's drilling, but -- and you know, the team doesn't rest, and they keep on adding it. At this stage we have only extended it for one quarter. I hope that they will obviously -- if we can continue running at 4,000 tonnes a day with the Prestea Underground would be -- every quarter will be a massive benefit to this company. And we are doing just that, but at this stage all I can say is we will extend it to another quarter.
Robert Reynolds: Okay.
Sam Coetzer: Which gave us -- when I start seeing the results from the Mampon, and somebody might have want to ask this question, and we had the pumping system issue at the Prestea Underground; it was a easy decision for me to suspend, in particular the infrastructure that we work so hard to install fix up the pumping and get the water levels under control, and then because of the good cost and the good production we are seeing from Mampon we could do the right thing, make sure that Prestea Underground is really well set up when it starts in the fourth quarter, and that's really what the logical say.
Robert Reynolds: Okay. And then, just in terms of the ore feed from the Prestea test in Q2, what percentage of that ore came from Mampon?
Sam Coetzer: Oh, I am going to -- you can help me -- it's only getting into the real guts of it. Now, it added a lot. You see the Prestea, it's normally with the run would have done 20,000 to 24,000 ounces, the fifth at Prestea. So, you know, I don't have that number. I'm sorry. I would -- my gut feel is -- just the gut feel is 10,000 to 12,000 ounces in this quarter, but the bulk of it hopefully in the third quarter would come out.
Robert Reynolds: Okay, thanks.
Sam Coetzer: To that number, I would like -- it's a good question, because we don't look at particular one source of ore, we look at a business, and Prestea is one business for us, it's spread over 65 kilometers, and we had a target of about -- I think just over 1,400 tonnes a day from Mampon, and we have been keeping that kind of range.
Robert Reynolds: Okay. That's all my questions, thanks.
Sam Coetzer: Okay…
André van Niekerk: 236,000 tonnes for Mampon.
Sam Coetzer: Okay. It's not a -- we mined 236,000 tonnes of ore, some of it is stockpile, some of it hasn't come to the plant, Robert.
André van Niekerk: So, in process.
Sam Coetzer: Yes.
Robert Reynolds: Thank you.
Operator: [Operator Instructions] There are no further questions in the queue at this time. I will turn the call back over to Sam.
Sam Coetzer: Thank you, Jody, and thanks to all for listening, and we will talk to you in three months again. Bye.